Operator: Good morning. My name is [Lithuania] and I will be your conference operator today. At this time, I would like to welcome everyone to the Consolidated Communications Holdings Inc. fourth quarter 2008 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions). I will now turn the conference over to Mr. Matt Smith, Director of Investor Relations. Thank you. Mr. Smith you may begin the conference.
Matt Smith: Thank you, [Lithuania] and good morning everyone. Thanks for joining us on this fourth quarter and year-end 2008 earnings conference call. With me on the call today are Bob Currey, President and Chief Executive Officer, and Steve Childers, Chief Financial Officer. After the prepared remarks, we'll conduct a question-and-answer session. I will now review the Safe Harbor provisions of this call and then turn it over to Bob. This call may contain forward-looking statements within the meaning of the Federal Securities laws. Such forward-looking statements reflect among other things management’s current expectations, plans and strategies and anticipated financial results, all of which are subject to known and unknown risks, uncertainties and factors that may cause the actual results to differ materially from those expressed or implied by these forward-looking statements. Please see our public filings with the Securities and Exchange Commission for more information about forward-looking statements and related risk factors. In addition, during this call, we will discuss certain non-GAAP financial measures. Our earnings release for this quarter's results, which has been posted to the Investor Relations section of our website contains reconciliations of these measures to their nearest GAAP equivalent. I will now turn the call over to Bob, who will provide an overview of our financial and operating results. Steve Childers will then provide a more detailed review of the financials. Bob?
Robert Currey: Thanks Matt. And thank all of you for joining us today. We had a great year and I’m pleased to report another solid quarter of both operational and financial results. Let me start by discussing some of the highlights for the quarter and then move on to our accomplishments for the year. I will then get into some of the detailed operating metrics, provide an integration update and finally touch on the regulatory and economic landscape before turning it over to Steve for a more thorough financial review. First, I’m very pleased with our strong broadband performance again this quarter, with DSL growing by 3% and reaching 35% penetration of total access lines. Our IPTV service continues to show solid growth with nearly 8% new subscribers and we passed an additional 8,000 new homes. As a result of the successful launch and customer response to HD and DVR, our ARPU on the IPTV subscribers has reached its highest point ever. Financially, we had another solid quarter of results. Revenue for the quarter was $102.7 million with adjusted EBITDA of $46.4 million, when excluding $300,000 in Hurricane Ike expense. Our cash available for dividends was in line with our expectations and we maintained a comfortable payout ratio. Turning now to the full year. I’m pleased to highlight a few of the many successes we had. We worked very effectively in integrating the North Pittsburg operation and ended the year by surpassing our synergy estimate of $7 million. We rolled out IPTV service in our Pennsylvania market within four months of closing the acquisition, and have had the fastest and most successful IPTV launch in our history. In addition, we increased our homes passed by 35,000 to a total of 143,000. Our DVR service was launched in all of our markets and we added 10 new HD channels to our lineup. We’ve also added thousands of hours of video-on-demand content and expanded our local content options. As for DSL, we began upgrading our 1 meg customers to a 3 meg product at no charge in support of our customer retention efforts and to keep pace with the growing bandwidth demand. Our residential VOIP service was launched during the year successfully gaining or retaining approximately 2,500 residential customers. Finally, we successfully trialed pair bonding in preparation for the full rollout in the first half of 2009. We are excited about the opportunities this new technology will provide us. Expanding coverage to new customers for our broadband offerings and enhancing speeds to existing ones. I’m very proud of our team and all the employees for this extensive list of 2008 accomplishments, especially the entire recovery effort around Hurricane Ike that we detailed last quarter. In regards to our operating performance, we delivered strong DSL and IPTV growth in the quarter and the year. DSL lines in service increased by 2,700, or 3% sequentially and by 10,500 or almost 13% for the year. IPTV subscribers increased by 1,200 or almost 8% for the quarter, and 4,400 or 36% for the year. As for the DVR product we’ve launched in April, penetration rate continues to show a substantial growth increasing to 17% at year-end. During the quarter, we added nearly 800 ILEC of VOIP lines bringing that total subscriber count to 6,500, and growth for the year was a strong 161%. Let’s talk about access lines in the quarter. As we expected, our access line losses have spiked due to the cable-voice competition that launched late in the second quarter. Although on a sequential basis, line losses did show some slight improvement in the fourth quarter. We continue to see our competitors launch strong promotions and introductory offers. In our Pennsylvania markets, we saw ILEC line loss trends stabilize during the quarter. The year-over-year rate was 5.7% compared to the year-over-year loss of 8% in the fourth quarter of 2007. For the Pennsylvania CLEC business, the quarter was essentially flat. However, we ended the year with a strong 6.6% growth in access line equivalent, which exceeded our expectations of 5% for the year. Now, let me provide an update on the Pennsylvania integration. We continue to be very pleased with our progress. Not only did we exceed our first year’s synergy estimate, our run rate and upcoming completion of the final projects places us in excellent position to meet our second year synergy commitment of $11 million. As for the systems, we will complete the integration of all of our ILEC billing systems in June. We told you when we made the deal that this acquisition would be accretive in the first year and it was, again demonstrating integration is something we do well. Regarding the regulatory landscape, I mentioned before that we support inter-carrier compensation reform .We look forward to working with the new FCC and developing a solution that can support continued investment in rural America. It is unclear to us at this point, where reform will fall on the new staff’s priority list. But we don’t expect it to move to the top until later this year or the beginning of 2010 at the earliest. We will play an active role in any reform effort through collaborative efforts with our ILECs and our two primary industry associations. As for the broadband stimulus plan that you all heard about, we are working diligently in preparation for the rules and applications to be released. As with inter-carrier comp reform, we are playing our part to influence the outcome of these rules. We are pleased with the interest in rural America and plan to actively pursue any opportunity that will help support broadband expansion. Although, we do not have anything built into our current 2009 plans related to the broadband portion of the bill, we are optimistic with what the stimulus plan could bring. Finally, let me touch on the economy. We continue to believe that our diverse markets and effective product offerings will help us weather the national economic difficulties. As you know and we’ve reminded you, none of our markets saw the big increases and subsequent declines in housing, and the commercial developments that we’ve mentioned in the past are still moving forward. We have seen some line losses due to business closings, which in some cases has a ripple effect with loss directory advertising. We recognized we are in unprecedented times and we must be proactive. We have developed plans that we can literally pull off the shelf and execute if the economic tide worsens. Given these factors, we still feel good about our position. Let me now turn the call over to Steve for a financial review.
Steven Childers: Thanks Bob and good morning to everyone. As Bob mentioned, we are pleased to again report solid financial results for both the fourth quarter and full year of 2008. This morning, I’ll review our quarterly financial performance and then provide our 2009 guidance. Operating revenue for the fourth quarter of 2008 increased 20.8% to $102.7 million, compared to $85 million for the same period in 2007. The increase is primarily due to the $23.3 million in revenue from our Pennsylvania operations. Excluding the contribution from the North Pittsburgh acquisition, which as a reminder, we closed on December 31, 2007, operating revenues were $79.7 million. Approximately half of the decline was the result of lower revenue from our non-core businesses, which we report under other operations and which has generally produced low single digit margins. Other declines in Local Calling Services, Network Access Services and other operations were partially offset by growth in our DSL, IPTV, and VOIP business. Total operating expenses, exclusive of depreciation and amortization for the quarter was $63.4 million excluding a $6.1 non-cash impairment charge associated with our non-core telemarketing business unit. This compares to $51.4 in the fourth quarter of 2007. The increase is primarily due to the recognition of $14.1 million in cost of sales and SG&A expense associated with our Pennsylvania operations, which are consistently been in line with our expectations. Total operating expense in the current quarter includes approximately $1.3 million of the integration and severance cost, they qualify as add backs to adjusted EBITDA under the terms of our credit agreement. Also, due to the additional Hurricane Ike service restoral efforts in the quarter, we incurred approximately $300,000 in incremental cost overtime, contractor and vendor costs. Depreciation and amortization expense for the quarter was $23.6 million, an increase with $7.5 million compared to the fourth quarter of 2007. The increase was attributable to 2008 capital additions as well as the increased depreciation associated with the fixed assets acquired in the amortization and intangible assets recognized with the acquisition of North Pittsburgh. Net interest expense for the quarter was $18.7 million, compared to $11.7 million in the fourth quarter of 2007. The $7 million increase in net interest expense is primarily attributable to the incremental debt in terms of our new credit facility. In addition, the quarter included a $2.8 non-cash interest charge due to hedge accounting of our interest rates swaps. The increase in fourth quarter 2008 interest expense was partially offset from the savings generated by the April 1, 2008 redemption of $130 million of our 9.75% senior notes. The calling of our senior notes will save approximately $1 million a quarter in cash interest expense as it replaced the high coupon note with bank debt hedged in effective interest rate of 6.8%. Other income of $4.6 million increased $3.1 million compared to the same period last year. As part of the North Pittsburgh transaction, we acquired limited interest in three additional Verizon wireless partnerships. During the quarter, we recognized $5 million in income from these wireless partnerships. Also in the fourth quarter, we recognized a non-cash extraordinary gain, net of tax the amount of $7.2 million. Due to our election to discontinue the application of SFAS 71 "Accounting for the Effects of Certain Types of Regulation." This gain was due exclusively due to the reversal of over depreciation previously allowed under SFAS 71 to cover the cost of removal of certain regulatory assets. Weighing all these factors, net income including the extraordinary gain was $3.6 million for the quarter compared to net loss of $1 million for the same period last year, while net income per common share was $0.11 compared to net loss per common share $0.04 for the same period in 2007. We believe it is appropriate to look at net income per share on an adjusted basis. As detailed on the adjusted net income per share schedule in the earnings release, our adjusted net income was $5.1 million and adjusted net income per share was $0.17 in the fourth quarter of 2008 compared to $5.3 million and $0.20 per share respectively in the fourth quarter of 2007. Adjusted EBITDA for the quarter was $46.4 million when excluding the incremental 300,000 in Hurricane Ike recover expenses, compared to $37 million for the same period last year. The primary driver was $9.4 million, or 25.4% increase in earnings that came from our Pennsylvania operations. Capital expenditures were $10.9 million in the fourth quarter and our full year CapEx spend was $48 million. From a liquidity standpoint, we ended the quarter with $15.5 million in cash and our $50 million revolver remains undrawn. As a reminder, we have no debt maturities until December of 2014 over the term of the credit facility. Also as of December 31, 2008, approximately 84% of our term debt was effectively fixed as a result of interest rate hedges and our overall cost of debt at year-end was 6.3%. For the quarter, our total net leverage ratio as calculated in our earnings release, was 4.6:1. Our leverage and coverage ratios were well within compliance levels with the credit facility. Cash available to pay dividends, or CAPD, was a strong $15.3 million in the quarter. On a full year basis, compared to 2007, we improved the dividend payout ratio by 430 basis points to a very comparable 71.6% Now I’d like to provide our 2009 guidance. Consistent with prior years, we will provide guidance on capital expenditures, cash interest and cash taxes. In addition, I will give you some estimates on expected 2009 pension expense and funding. First capital expenditures are expected to be in the range $42 million to $43 million. The 10% lower spin rate from 2008 is due to $2 million in the integration CapEx that will not be needed in 2009 as well as the additional $3 million in CapEx synergies we estimated as part of the North Pittsburgh transaction. Cash interest expense, which was $65 million for 2008 is expected to be in the range of $58 million to $61 million for 2009. And full year cash income taxes are expected to be in the range of $11 million to $13 million compared to 2008 of $13.5 million. Our 2009 tax projections do take into consideration expected savings between $6 million to $8 million due to bonus depreciation allowance plan. Finally, based on preliminary plan valuations, we currently expect to make cash contributions in the range of $9 million to $11 million to our pension funds in 2009. This is an increase of $3 million to $5 million over our 2008 contribution levels. Also based on preliminary estimates, we expect to recognize additional non-cash GAAP pension expense of between $4 million and $5 million compared to $700,000 recognized in 2008. With respect to our dividend, our Board of Directors has declared the next quarterly dividend of approximately $0.39 per common share payable on May 1, 2008 to shareholders on records on April 15, 2009. With that, I’ll now turn the call back over to Bob for closing remarks.
Robert Currey: In summary, we are pleased with our results for the quarter and all the accomplishments throughout the year. We continue to produce strong cash flows and return a large portion of that cash to our shareholders in the form of a dividend. We have diverse markets that provide economic balance and a service driven culture that combined with our compelling product offerings serve our company well. With that Lithuania, I would like to open it up for questions.
Operator: (Operator Instructions). Your first question comes from the line of Frank Louthan with Raymond James.
Frank Louthan – Raymond James: Good morning. I got several questions sort of all getting around the same thing, I can appreciate where your giving guidance where it has in the past, but is there anyway you can give us an idea of the margin trends, EBITDA margin trends or some sort of guidance on what EBITDA is going to look like over the next 12 months, kind of giving what the yield -- which it appears to be very safe and what everything else in the industry, but given that sort of lack of confidence the market has, is there anything you can tell us about your expected margins or margin expansion or the level of EBITDA for this year.
Steven Childers: Well, Frank this is Steve I will start with that and again we won't give specific guidance on CapEx on EBITDA margins, but to me to go to your question on the -- with respect to the dividend and security around that. A couple of things, number one we would expect the payout ratio for things we did give guidance on, $5 million reduction in CapEx, improved cash interest, cash tax sustained similar even offsetting to have a neutral impact on the pension plan contribution. We'd expect the payout ratio to be at least as good as this year if not seeing some improvement in the number. From an EBITDA perspective, again we won’t give specific guidance on that, but the way to think about it is, we told you our non-GAAP or what our GAAP pension expense was going to be for next year. But we're also looking for second year of PA synergies, going from $7 million to 11 million. We expect to see improvement on the margins on video and DSL product. And we're going to continue look at our headcount reductions, so looking at our cost structure with and without our integration efforts. 
Frank Louthan – Raymond James: Okay. Will the improvement on the video and the DSL margins and the improvement in Pennsylvania, help the EBITDA, help overcome the EBITDA drag from the local business? 
Steven Childers: Frank I could say, I don't know if it will directly offset, they will certainly minimize the impact of that, and again as we're trying to stress all the levels of cash flow that support the dividend, we are more uncomfortable staying at 70% range on the payout ratio for next year. 
Frank Louthan – Raymond James: Okay, and then one other question, on looking at your Internet subscribers, the dial-up subscribers fell off quite a bit in the quarter, just curious was there any change in how you calculated or recalculation of those customers or did you do anything from a marketing perspective, trying to encourages those folks to leave and is there any opportunity to migrate then over to DSL going forward rather than just seeing them leave?
Robert Currey: Frank, good morning. It's Bob. It is our standard marketing approach, offering them some teasers at a very attractive rate for a three or six months trial and migrating, them. We've been doing the same basic program for the last three or four years. So there is no major change there. We think that the product is so compelling, that if you can get them to try for a while, they won't go back.
Frank Louthan – Raymond James: So there is nothing different I mean to explain why unusually large drop in dial-up customers in the quarter.
Steven Childers: No not really, I think you probably can see it reflected in the -- we had a great quarter compared to most on our DSL growth. And I think that's partly reflected in that and they make it the so called not having our standard voice product where we've gone make it with that, that's part of the reason, I think why we’ve had continued to have very nice growth where some of our brethren had a more difficult fourth quarter.
Frank Louthan – Raymond James: Okay great, thank you very much.
Operator: Your next question comes from the line of Michael Rollins for Citi.
Michael Rollins – Citigroup: Hi good morning. Just a question on the operations and question on the cash flow statement. On the operations, can you talk a little bit about maybe how the heritage consolidated markets performed on an OIBDA basis in '08 versus the NPSI with respect if you look at the OIBDA that NPSI in '07 and sort of look at what the contribution was in '08, which is like a feel for how that core consolidated business did where you're more aggressively marketing that Triple Play product. And then the second question on the cash flow statement. Can you talk a little bit more about how you're defining your coverage ratio on the dividend. If I'm doing the math correctly on the 12-month cash flow statement that's in your press release, it looks like the CFFO minus CapEx was about $44.4 million and it looked like the dividend cash paid in the year was $45.4 million was the dividend. And so maybe there is some transitory items that would be in the CFFO that you might want to highlight and if there were any, and if you could talk a little bit more about how you're defining that coverage level of the mid 70s. What's that on versus what's showing in the cash flow statement? Thank you.
Robert Currey:
 :
Steven Childers: Hey Mike, this is Steve Childers. With respect to your second question on how we are measuring the coverage to the dividend. Consistent with how we reported this in 2005 when we went public, we’re measuring against what the definition of CAPD and the coverage ratio in our credit agreement, and I referred this to the reference point, I refer you to page 11 of our earnings release, which again -- what we played out in that table is consistent with how we reported since we have gone public, and again this is directly out of our credit agreement. With respect to your second question about how you calculate it, all going into the cash flow statement. I think you used the word transitory. There are some odd things running through the cash flow from operations this year with respect to deferred taxes, the extraordinary gain with the deferred taxes we’re impacted based on hedge accounting, finalizing the purchase accounting for our North Pittsburgh transaction, and as well as some of the implications with pension. So there are some odd things kind of running through that number. But again we’re reporting the numbers consistently as we have since the day we went public.
Michael Rollins – Citigroup: Thanks very much.
Operator: Thank you. (Operator Instructions) Your next question comes from the line of Tom Seitz of Barclays Capital.
Thomas Seitz – Barclays Capital: Thanks for taking the question. Can you give us an update on the economic development that’s going on in each of the three territories? I did notice that clean coal, I think was in the stimulus package and I was wondering if you know yet whether that will directly benefit [material]. Should update on the Westinghouse nuclear facility, is that impacted at all by the economy and then KBR down in Texas?
Robert Currey: Good morning Tom and thanks for the question. Let’s take them in reverse order. In Texas, KBR that large engineering construction company that is going to build a 900,000 square foot campus and relocate or centralize 4,500 employees right in the middle of our KD market. We still anticipate that it will complete some time in 2010 as originally announced. They have not broken ground. They are meeting with their architectural firms. We are in there already with the fiber systems on how to support that process but they are in the middle of some financing discussions with their bankers. Regarding PA, the Westinghouse consolidating its nuclear division and bringing 3000 employees, that construction is well underway on their three buildings and they’ve begun moving or announced that they will move 400 employees, the first of 3000 in the first part of June. We’ve sold them a multitude of services, 300 megabits of Metro Ethernet, ISDN and T1 circuits, so we are in there and all over that and then we are very please with the progress to date. FutureGen, the Methuen [ph] the coal-fired Zero Emission Power Plants, while we are excited about that, Tom, if you followed it historically, it’s been in and out of the budget, it’s currently in the stimulus plant for $1 billion, it would be huge, if it actually happened. We have, obviously with Obama from Illinois and Durban pushing it, we’re excited about it. It’s projected to, if it goes, it will produce about 2,500 construction jobs and 500 permanent jobs. So, obviously if you haven’t detected it on thrill to have these three huge developments going in the three states in which we operate.
Thomas Seitz – Barclays Capital: Thanks for the color.
Operator: Thank you, your next question comes from the line of Donna Jaegers with DA Davidson.
Donna Jaegers – DA Davidson: Hi guys thanks for taking the question. Two quick ones I guess on gross margins, they came in a little better than what I was expecting there and I was just curious if you could comment on that if there was anything specific driving that. And then on SG&A, I am assuming that was a little higher than it had been in the past with the severance cost included in SG&A?
Steven Childers: Donna, this is Steve. The first with respect to gross margins, I don’t think there is anything specifically that I could call out. I mean this is the way the quarter rolled out there. The second thing with SG&A, yes since severance and integration expenses were little higher in the quarter than what they have been running, it does flow through in SG&A.
Donna Jaegers – DA Davidson: And you said there was 1.3 million in the integration severance cost 
Steven Childers: Yeah.
Donna Jaegers – DA Davidson: And the expenses from the Hurricane, Ike repairs, were those spread between the two?
Steven Childers: They are probably up in cost with sales primarily.
Donna Jaegers – DA Davidson: Okay. And then you mentioned earlier, I think Bob mentioned that you guys expected DSL margins to improve going forward. Can you talk a little more detail, is that because of bigger scale in the industry or have you guys done something to decrease your cost there specifically?
Steven Childers: Don this is Steve, I made the reference to the DSL margin improvement. I guess we wouldn’t see a staggering movement on that base and how well we already deliver and serve that product. I guess the real emphasis is on our video product, which as we've talked about in the past. It is generally dilutive in the first 18, 24 months once we start delivering to a market, because we are basically expensing the cost of the check time for the labor installation and as we get critical mass in each one of those markets we would expect to start seeing some positive cash flow in those market. So, I guess the real opportunity in margin improvement is on the video side. And I guess what value of video means enhancing the overall bundle.
Robert Currey: Yeah I may have mislead you on that Don. What I was trying to project is that we have moved our customers from a one meg, to a three meg. There is no cost increase there but it just is to meet their demands, meet the competitive marketplace and this year we will launch a 20 meg product as we move upscale with our bonding technology so, hopefully that could lead to some better margin, but that hasn’t been announced or rolled out yet.
Steven Childers: And the movement Bob from the one to three megs, they are paying more for that is that just sort to give him a taste shown how fast?
Robert Currey: That’s different. That’s to protect us from any migration to a competitor, that’s to meet their needs no cost to them, that’s been our history. We every year or two, we've moved the basic customer up in speed at no cost.
Steven Childers: Okay. Thanks.
Steven Childers: Thank you.
Operator: Thank you, (Operator Instructions). There are no further questions at this time presenters I've return the conference to you for closing remarks.
Robert Currey: Thank you, and I thank all of you for joining us today and for your interest and support of Consolidated. That’s all we have look forward to talking to you next quarter have a great day.